Operator: Good day, and thank you for standing by. Welcome to the Prosegur Cash Full Year 2025 Results Presentation. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Miguel Bandres, Head of IR. Please go ahead.
Miguel Ángel Bandrés Gutiérrez: Good morning to everyone, and thank you for joining today's call. I'd like to welcome you to our 2025 Q4 and full year results presentation that will be presented by Jose Antonio Lasanta, our CEO; Javier Hergueta, our CFO; and myself. The presentation shall take around 30 minutes in which we will share the most relevant events that have taken place in the period for our business as well as our performance. We'll comment on our key financials, our geographical performance and our transformation effort as well as our sustainability initiatives and will end with key concessions. After, we will open a Q&A session. Should we not get to respond to everything in today's session, we'll get back on any open topics on an individual basis. I want to again thank you all for your attendance and just remind everyone that this presentation has been prerecorded and is available via webcast on our corporate web page that you can find at www.prosegurcash.com. But before I hand the floor to Jose Antonio, I'd like to share some news regarding cash that have lately appeared in the media. They cover interesting topics such as the importance of cash for lower income families in the U.K., the stance towards cash of North Americans, how often cash is used in Colombia or the resilience of cash payments in the Eurozone. There are all cases that show the relevance of cash in different geographies and for different purposes, be it privacy, inclusion or budgeting or expense control. In the first news we can read from the BBC that the UK government will grant cash payments to people that happen to be in financial need. This new funding scheme will provide emergency funds for low-income individuals across England. This highlights how important cash is for all segments of society, especially for those that are most vulnerable. To reach them effectively and to allow them to buy their expenses accordingly, no other payment means is as effective and as inclusive as cash is. In the second year, we crossed Continue continent towards the U.S. We read from MoneyWise, that 84% of Americans oppose having a cashless country, citing privacy and spending control as key reasons for their positioning. Once again, in different places around the world, citizens are rising to defend their privacy and their right to control their personal spending. 84% is more than a relevant amount as we take into consideration when regulators are working on warrantying basic economic premium for which cash, its acceptance and its availability are crucial. Next, and moving down to Colombia, we can read from the [indiscernible] that this country stands out amongst cash users since 7 out of 10 daily payments are made with physical money. Here, we can see that in Colombia, consumers stand behind their payment choice, backing cash as their most preferred option. When doing this, they show with their example, the relevance of cash for Latin American economies and the preference citizens have for it. And lastly, and coming back to Europe, we can read from Euronews that Europeans pay for more than half of their purchases in cash. In 14 of the 20 countries in the Eurozone, cash is the most widely accepted method of payment accounting for between 45% and 55% of all transactions. Again, here, we can see that because of the many positive attributes cash has, it's the preferred payment means in over 70% of Eurozone countries. All the above are a reflection of the many events and news that take place in the world regarding cash that underscore its unique attributes and the endorsement it gets from consumers and authorities alike. We are proud to assure that the availability of cash in society continues to run smooth and effectively in close collaboration with other relevant stakeholders such as financial institutions, retailers or regulators. After this news update, I will share today's agenda. Firstly, Jose Antonio will review the period's highlights. Second, Javier will share with us the key financials for the year, after which Jose Antonio will take the floor again to reflect our transformation initiatives, and then I'll share key developments per region. Finally, Jose Antonio will update us on the latest sustainability developments before sharing key conclusions and open the Q&A session. This being said, Jose Antonio, the floor is yours.
José Antonio Lasanta Luri: Thank you, Miguel, for sharing interesting news in the world of cash. Good morning to everyone, and thank you for attending. 2025 has been a challenging year for our company, in which despite an unfavorable exchange rate environment in Argentina, a key market for us, having taken decisive steps towards its macro normalization we have managed to maintain a relative operating margins and improve our bottom line in relative and absolute terms based on our determined transformation and a sequential improvement in Europe and a strong performance in Asia. All of this demonstrates our business model resilience. Our top line has shown organic growth of over 5%, which has been tainted by an 11.1% currency impact that accelerated as the year progress. We must remember that 70% of our revenue is not in euros and is hence affected both by the evolution of U.S. dollar versus the euro and by local currency fluctuations versus the U.S. dollar. Combining both elements, sales declined by 4.9%. Despite the above, we have been able to maintain a 12% EBITDA margin, I would like to here highlight that the nonrecurring efficiency program we have carried out since Q2 to improve our operations and in which we have invested more than EUR 15 million has been finalized and offset by positive extraordinary items. To end the year, our EBITDA margin has improved in Q4 by 30 basis on a quarter-on-quarter basis, reaching 12.5% on sales. Net profit has increased by 3.3% and 30 basis points versus 2024 to EUR 94 million, showing the improved performance of the bottom part of our P&L. Regarding Transformation, we continue to advance at a very strong pace. Sales for these solutions now account for 35.2% of total revenue and the penetration has increased by 300 basis points year-on-year. Of particular relevance has been the performance of our Cash Today solutions that have behaved very well in our geographies. In terms of cash flow, our free cash flow reached EUR 108 million on the back of disciplined CapEx control as well as in strict working capital management. With this, we have been able to reduce our total net debt by EUR 36 million year-on-year, which is a clear proof of our commitment to debt reduction. Lastly, I want to share that we have effectively repaid the EUR 600 million bond we've had out outstanding and that our balance sheet is strong, flexible and well funded on to 2030. As well, our Board has proposed a EUR 62.5 million dividend for the year 2025 to be paid in 2026, which implies maintaining the same dividend per share as the prior year. Lastly, it's important for us to highlight that Standard & Poor's has included us in the demanding Global Sustainability Yearbook for 2026, which recognize our constant effort to have a sustainable company. With this, I'd like to hand over to Javier so he can share with us our key financials.
Javier Hergueta Vázquez: Thank you, Jose Antonio. First, looking at our profit and loss account. Revenue has reached EUR 1,987 million. As we can see on the right-hand side of the page, Organic growth reached 5.3%, while inorganic at almost 1%. However, as Jose Antonio pointed out in the prior slide, foreign exchange has negatively affected us by 11.1%. When totaling all these effects, our overall sales have decreased by 4.9% in the year. Asia continues to be clearly our organic growth leader, and we foresee that to continue into the future. Our EBITDA totals EUR 356 million, which, together with depreciation of EUR 118 million in the period makes us reach an EBITDA of EUR 238 million, 5% less than in 2024. It is important to highlight that despite both the currency and Argentina's normalization impact on our country mix, we've been able to maintain our 12% relative margin. Looking at the bottom right-hand side of the page, the one-off impact from the extraordinary efficiency program that summed EUR 50 million and for which we expect a payback of 18 months has been offset by other positive extraordinaries fundamentally related to prior acquisitions deferred payments. As we continue down our P&L, amortization of intangibles reached EUR 22 million, EUR 3 million less than last year and with which we reached an EBIT of EUR 260 million, 10.9% of sales, which is 10 basis points improvement versus 2024. It is important as well to note that the financial results totaled EUR 47 million, EUR 13 million less than in 2024, mainly on lower currency impact with which we reached an earnings before taxes of EUR 169 million, EUR 3 million more than 1 year ago and allows us to improve our margin over sales by 60 basis points to 8.5%. Taxes totaled EUR 75 million in line with last year in absolute terms and results in a reduction of 60 basis points in the tax rate to 44.4%, a trend that should continue into the future. With that all, our net profit reaches EUR 94 million, growing 3.3% versus one year ago and represents 4.7% of total sales, a 30 basis points improvement year-on-year. I want to underline the resilience of our P&L that shows especially in its bottom part towards net profit. This all allows us to deliver earnings per share of EUR 0.0607, 1.2% better than the one achieved a year ago. Even in such an adverse environment, we have been able to not only protect but improved profitability for our shareholders. If we go to Page 5, we can review our cash flow and net debt position. Starting from the EBITDA I shared in the prior page of EUR 356 million for the year, provisions and other items deduct EUR 69 million, EUR 34 million more than the prior year, explained by the difference year-on-year in extraordinaries and other noncash items. Income tax implied a cash outflow of EUR 83 million, EUR 19 million more than in 2024 while CapEx has totaled EUR 82 million, showing our discipline towards CapEx management, which we aim at maintaining in relative terms over sales. Investment in working capital has totaled EUR 14 million despite growing organically at 5.3%, as we've seen earlier and representing a substantial reduction of EUR 21 million year-on-year as a result of an effective DSO and DPO management. With this all, our free cash flow reaches EUR 108 million, implying a 77% conversion over EBITDA in the year, improving 300 basis points over 2024. Interest payments reached EUR 19 million, slightly over a year ago despite the refinancing program carried out throughout the last part of the year. And M&A payments have totaled EUR 52 million contributing to reduce the M&A-related outstanding debt by EUR 70 million. Dividend outflow totaled EUR 61 million and treasury stock some EUR 8 million in 2025. Our net financial position at the beginning of the period was at EUR 643 million, to which we shall decrease the net cash flow and as well deduct the EUR 10 million negative impact from foreign exchange rate. These results in the net financial position for the end of the period of EUR 711 million, increased fundamentally due to M&A payments made and extraordinary efficiency costs to which we must add EUR 98 million of IFRS 16 debt, EUR 55 million in deferred payments and EUR 40 million positive of treasury stock achieving a total net debt of EUR 850 million, reducing EUR 36 million year-on-year and taking it below 2023 levels. Our resulting leverage ratio has reached 2.4x, 0.1x more than 2024 fundamentally driven by the effect of currencies on our EBITDA levels. As said, we are confident that into 2026, we will be able to continue our deleveraging. With this, I would like to hand over to Jose Antonio, so he can share with us on Transformation.
José Antonio Lasanta Luri: Thank you, Javier. Looking into Transformation, I'm very happy to share that these solutions now represent 35.2% of our total sales. In 2025, revenue of our Transformation solutions reached EUR 700 million, which is a 4.1% increase in relative terms. Once again, this underlines that our products are very well received by our customers and continue to trust in us as a key service provider. This growth over 2024 is especially relevant if we take into account that in 2024, we undertook very relevant nonrecurring projects of ATMs in Latin America that have not been repeated into 2025. Together with the already mentioned currency impact that, of course, as well affects the sales. Penetration of our total sales, as I said, now reached 35.2%, implying an increase of 300 basis points year-on-year. If I am to highlight one especially key performer, this has been our Cash Today solutions but continue to deliver extraordinary growth in our geographies and to which we have increased our product type range. We are determined to continue the transformation of our company into the future, focusing on our key solutions. Cash Today, ATMs, banking correspondence and ForEx business. With this, I would like to pass over to Miguel, so he can share with us the key highlights of our performance by region.
Miguel Ángel Bandrés Gutiérrez: Thank you, Jose Antonio. I would like to first start sharing with you the key developments in Latin America, our main region that accounts for 58% of group sales. Revenue in the region totaled EUR 1,145 million in 2025 and this implies a decline of 11.5% versus the same period achieved a year ago, driven fundamentally very strongly adverse 17% currency effect. The evolution of the U.S. dollar versus the euro as well as the local currency versus the U.S. dollar have taken negative toll on our sales. Very important to note that underlying organic growth has been 5.4%, which reflects a positive evolution overall in the region, save Argentina. Different elections that have taken place in the later part of the year and the measures taken in order to balance public spending have affected consumption as reflected in our figures. We're confident that as the country continues its change efforts, growth will restart, and we'll see strong activity back. Transformation products have experienced as well a very positive year despite the currency effect and they've managed to grow versus the prior year, reaching EUR 435 million, which is 38% of total sales, increasing thus the penetration by 490 basis points. Growth in the region has been fueled by strong performance of Cash Today and banking correspondent initiatives. In terms of margins, pro forma EBITDA, which excludes the one-off impact of the EUR 50 million efficiency program carried out in the region in the last three quarters and other extraordinary items related to prior acquisitions, payments has reached 16.1% of sales. That is an 80 basis point reduction versus one year ago, fundamentally due to the Argentina normalization as well as the effect of currencies and the country mix. we believe this margin should expand into 2026. Turning now to Page 8. Europe accounts for 33% of group sales. Revenue in the region has reached EUR 662 million. That's a 1.4% or EUR 9 million increase over a year ago. This growth is backed on an organic positive 1.5% growth that has been slowly by receiving the accelerating quarter-on-quarter and that we believe will continue into 2026. The region experienced a minor 0.1% drop back from currency effect. We have to underline that this growth has taken place in a year where Spain and Portugal have seen modest 2% increases in GDP terms, and Germany, our biggest market in the region has experienced no growth. Transformation in the region now reaches 33% of total sales, a 10 basis point improvement over one year ago. The main contributor to this Transformation product growth continues to be Cash Today, which we believe still has a lot of room for growth from our expanded product range. When we look at margins, pro forma EBITDA, which excludes extraordinary positive impacts due to prior M&A payments, has improved by 15.6% to reach EUR 35 million and in relative terms, totals 5.4% of sales, 70 basis points better than in 2024. We're confident that on a pro forma basis, the margins of the region will continue to grow and will actively contribute to the company's more balanced growth and margin profile. We now turn to Asia Pacific, a region that now represents 9% of group sales, up from 7% in 2024. Sales in this geography have reached EUR 180 million, a significant 26.4% improvement year-on-year. It's particularly important to note that this growth has been propelled by a 21.7% organic growth, which continues strong across the region. Such a growth is backed from strong economies, a significant outsourcing still to be developed and an increasingly high adoption of our transformation products. However, as we've already seen in prior quarters, currencies have reduced our revenue by 8.1% in euro terms. They've been affected by the decline in both local currencies versus the U.S. dollar and U.S. dollar versus the euro throughout the year. Looking at Transformation. These products have grown by 53.9% to reach EUR 47 million in 2025. The penetration achieved is of 25.8% of sales, a significant increase of 460 basis points year-on-year. Especially noteworthy, considering the strong push of the core business. This growth has been driven fundamentally by the ForEx business. In terms of margins, as anticipated, EBITDA significantly improved to double the territory, reaching 10.4% of sales and EUR 19 million in absolute euro terms. Thank you for your attention, and now I'll turn it to Jose Antonio.
José Antonio Lasanta Luri: Thank you, Miguel. I would like to now share our key sustainability-related development. Regarding the environment, I am glad to share our achievements in terms of decarbonization. We have reached our goal of reducing our carbon footprint by 8.4% versus a reference year of 2023, and clearly beating our yearly target of 1.7% reduction. This shows our commitment to reducing the impact of our business and the environment in an always economically meaningful manner without jeopardizing quite the opposite of our financials. As well, I am pleased to let you know that we have been ranked in Standard & Poor's 2026 Global Sustainability Yearbook, it is noteworthy to reckon that this list recognizes a select group of companies recognizing us in the top 15% amongst over 8,000 candidates for outstanding sustainability performance. Turning to our people. I'm very happy to share that we've been able to reduce our workplace accident frequency rate by 9% versus 2024 as a result of the multiple initiatives in terms of training and prevention we have invested in over time and to continue improving our team's safety, reflecting the above rate, we have launched a Road to Safety training targeted at our fleet teams taking into account that a large portion of our colleagues are in the logistics area and that this is where most accidents take place. We are sure that this initiative will have a very positive impact. Lastly, in the governance area, I am proud to share that we maintained the highest rating on the AENOR Good Corporate Governance index reaching G+++ rate, a level granted only to the best-performing companies. And as well, I want to share that almost 2,500 employees have achieved our corporate compliance certification that assures that we are a more robust and trustworthy company. Lastly, this year, we have improved in almost all key ESG ratings we are in. We can see particularly significant improvements in the S&P Global and MSCI ratings showing that third-party independent agencies ratify our efforts and achievements in the matter. We are sure that by taking care of our people by decreasing accidents, reducing our impact on the environment and improving our governance, we build a more sustainable company. And now I would like to summarize my main conclusions. 2025 has been a very demanding year in which we've been able to improve our bottom line profitability as well as continue to transform in an adverse exchange rate environment. Our business has weathered the normalization actions undertaken by the Argentina authorities as well at the dollar and other currencies devaluation. In this difficult environment, we have been able to both implement the efficiency program and capture growth and profitability in Europe. We have been showing a resiliently accelerating quarter-on-quarter improvement, while Asia continues to show a strong growth. We foresee these trends to continue into the future. Transformation has been at the forefront of our strategy where we are to focus on our four key families of solutions. Cash Today, ATMs, CORBAN and the ForEx business. Regarding them, we will continue to enlarge our offering and digitalize our portfolio. These efforts have resulted in improving our net profit by 3.3%, demonstrating our strong commitment to creating shareholder value and maintaining a strong shareholder remuneration while we reduce debt. In all, as said, 2025 and despite the evolution of currencies in Argentina's normalization, has been a transformative year for us. We have improved our bottom line, made our operations more efficient and continue to transform our company. We are sure that we are best prepared to face 2026, a year in which we are already working hard to continue delivering and where you should see an improved LatAm business and continued profitability and growth in Europe and a consolidation of our Asian performance. Thank you very much again for your attention. And now I would like to open the floor to any questions that you might have.
Operator: [Operator Instructions] We will not take the first question from the line of Alvaro Bernal from Alantra.
Alvaro Lenze Julia: I have three. The first one is regarding LatAm. We have seen it has suffered significantly this quarter with declines in organic growth. If you can explain a bit better the underlying behind this? Is it solely because of Argentina or Brazil is also suffering? And your view on this going forward into 2026, do you expect a recovery here? And also, if you can shed some light regarding the margins in the region, it would be very helpful. That's the first question. The second one is regarding investments. We have seen muted investments in both CapEx and leases this year. How do you see this going forward? Do you expect them to jump again as you renew, for example, opening stores for the ForEx business? Or if you can give us some color, it would be very helpful. And lastly, how do you see net debt for 2026? Do you have a specific target in mind? Leverage or whole number? It would be very helpful.
José Antonio Lasanta Luri: Thank you, Alvaro. Going to your first question, it's true what you're saying. If we take out Argentina, the growth of LatAm has accelerated in the fourth quarter. So it's been mostly Argentina, I would say, 100% of the issue in the fourth quarter. How do we see it in the future? We see that is going to be an important improvement in Argentina back to the relative performance that was before year 2025. So we see margins stabilizing and getting to where we were in 2024. It's true that the mix is going to change in the mix of countries. So there will be some change in there, but there is going to be an improvement, and it's going to be an important improvement there in Latin America. Second question on CapEx. Again, it's true what you are saying. This year, we've been quite shy on the CapEx of ForEx. But this year, we are going to have a stronger boost where we have won two big airports, Frankfurt new terminal and JFK Terminal 1, Terminal 6. So we'll be investing on those two airports, and we'll keep investing on new retail branches. So there's going to be some boost in CapEx there on the ForEx business. At the same time, we are going to keep optimizing our CapEx in the rest of the areas. So I think we are going to see that there is going to be optimization on the -- what we call infrastructure CapEx. And we see some improvements there. But as you said, totally overcome by the CapEx we are going to undertake on the ForEx business. And on the third question, our commitment is to deleverage to keep bringing down the debt of the company. So we believe there is going to be a delivery on relative terms, but also in absolute terms as we have seen this year. This year has been mainly focused on three areas. And this year, I think it's going to be -- we are going to see deleveraging on banking debt as well. The bank also -- Yes. I think that's more or less the answer to your three questions.
Operator: We will now take the next question from the line of Enrique Yaguez from Bestinver Securities.
Enrique Yáguez Avilés: A bunch of questions about Argentina and then a couple of them [ other ] issues. Regarding Argentina, I don't know if you could give us what kind of organic declines suffered last year, how much are the Argentina worth over the total group revenue? In the first quarter, you see some signs of recovery. I mean, in the medium term, probably we will stabilize, but how is the situation now? Then on the restructuring plan announced in LatAm last year, I would like to know if all the costs have been already [ incurred ] or just provision and how would that cope with the recent labor reform announcing Argentina? If you could save some money or not [indiscernible] on this. Sorry, I was late at the conference, but I didn't now if you provided what was the net extraordinary impact of EUR 12 million in Q4 because I think on a gross basis, it could be higher here because probably more restructuring costs we are improving in LatAm. Thank you very much.
José Antonio Lasanta Luri: Thank you, Enrique. Regarding your first question, in Argentina, there were three things that happened. The first one was a consumption came down because of the policies of the government, and although you see an increase on GDP of the country, the GDP growth has been mainly focused on the energy and our cultural sector. But the internal economy and the [ consumption ] is very depressed right now. Although the government has stated that this year is going to be a much better year. To tell you the truth, we have seen very small recovery. There's been some recurring but really small and not at such extent as government has stated. The second event that has happened is that the valuation has been much worse than inflation. So [indiscernible] more accounts of the valuation has been quite important. And then the third one has been the monetary policy restrictions that the government has put a constraint on the money that the banks have to hold that has been at 58% compared to 13% that is in Europe north of 58%. I think the government has said that we are going to open this year and they want to really make the internal growth, internal consumption growth much higher. And we are going to be very -- we are going to be expecting or looking forward to this very early. Although I think we have -- what has been really an achievement for us is that after some of the restructuring costs, we are now at the same relative terms than we were before 2025. So I think the country has done a tremendous effort in adjusting the cost structure, which is really difficult in our business. And really, the country has done very, very well on that front. Restructuring cost, it's true that it's been incurred like 90%, 95% of the whole program. So in February, we are going to do the last few weeks, but it's [ small bit ]. And why not in January? It's because non-January is a very strong month in Latin America and also a lot of people take holidays. So it's very difficult to adjust your last weeks during January and where we've done it during February, but everything is done in February. The plan is to have a payback of around 18 months. So we are going to see the -- all the savings, we are going to harvest the savings of this program during the year, we are going to see at the late part of the year, a very important kick back for the savings. And then the third question was about -- is we mainly -- some deferred payments that we have in some of the M&As. You know that whenever we do a transaction, we try to -- we record the business plan given by the sellers and normally is quite bullish. And there's been some adjustments on the deferred payments of [ the tail ] of the acquisition that we've done that we did in 2023 and then [ 2022 ].
Enrique Yáguez Avilés: [ The compensation growth from M&A ]
José Antonio Lasanta Luri: Yes. Do you want to...
Javier Hergueta Vázquez: Just to clarify, if you still have [ that ] it's basically the adjustment on the pending payments, which are recognized in our balance sheet. So as Jose Antonio was saying, we are typically recognizing it on the initial business case and there are typically some adjustments between that scenario and the actual performance, and this is reflecting that. So lower level of pending payments going forward in our balance sheet.
Enrique Yáguez Avilés: Okay. And how much was the restructuring cost in Q4 in LatAm just to have the...
Javier Hergueta Vázquez: So in Q4, we've undertaken EUR 3 million more of efficiencies programs in Latin America. So when you see the LatAm figures, I mean, in the adjustments, EUR 3 million come from the efficiencies program, EUR 3 million come from the M&A arena.
Operator: We will now take the next question from the line of Joaquin Garcia-Quiros from JB Capital.
Joaquin Garcia-Quiros: So the first one is in Europe, we've seen some recovery or acceleration throughout the quarters. Now the growth is almost up 3% for the fourth quarter. What can we expect for this year? Should we see this 3% more or less now as the trend going forward? Or was it just something specific for this quarter and Germany should continue to weigh down of that growth? And then for Asia Pacific, it's been growing fairly positive throughout this year. Should that growth continue? Or should we expect already a slowdown in 2026? And then lastly, assuming that Argentina recovers, would mid-single-digit EBITDA growth be achievable? Thank you.
José Antonio Lasanta Luri: Thank you, Joaquin. How do we 2026 by region, as you said, I think the global business, we are going to see a growth of mid-single digits in terms of sales and some profitability enhancement above that. So I think that's the global picture. If we go by region, I think Latin America is going to improve, mainly because of Argentina. We are positive on that one because of the restructuring program. So we are going to see some earnings enhancing there. Then Europe, we are going to see some growth in the business. I think the 3% growth, I think, is going to be beaten this year. It's going to be a bit higher and also some earnings enhancing there. And in Asia, still a small region, but we are very positive on it. Indonesia is doing a fantastic job and also the Philippines, India -- we have seen a very strong growth there. And then I think the Australian issue that we have has been more or less solved. It will be completely resolved hopefully in June to September 2026, which will be signed a deal with the major customers for medium-term for medium term. So I think that's going to give us a lot of stability. And if we look at the lower part of the P&L, I think we are going to have also good news on the financial cost on the tax and the tax rate both in the P&L and in the cash flow because, as you know, in Argentina, taxes are paid -- made on previous year profits. So this year, our taxes have been -- our tax bill has been quite high for the profit that we have had in Argentina. So next year, we are going to have some tax bill cut because of that. So that will improve also our cash flow. So I think we are positive on the -- of achieving the mid-single digit growth in global terms then some earnings enhancing at EBITDA level has been a much better increase on the net profit level. I that's going to be more or less the summary. And this is going to be reflected on cash flow because of this tax bill that we just mentioned. So that's our -- and we will use this cash flow to deleverage a bit more. So this is more or less the summary that we have for 2026.
Operator: There are no further questions at this time. I would now like to turn the conference back to Jose Antonio Lasanta, for closing remarks.
José Antonio Lasanta Luri: Thank you very much for your attendance and for your questions, investing questions as always and we'll meet next year and as I said, I think we are very positive on 2026 because of the trends of the market. And because of the last issues on the industry that you know that yesterday, Brink's announced the acquisition of NCR. And I think this is going to be the confirmation of a strategy that we are seeing that CAD companies are going to take the lead and the forefront for bank ATM [indiscernible] of outsourcing that we are seeing in the market. So thank you very much for your attendance. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.